Operator: Good day, ladies and gentlemen. Welcome to the 360 Finance Second Quarter 2020 Earnings Conference Call. Please also note, today's event is being recorded. At this time, I'd like to turn the conference call over to Ms. Mandy Dole, IR Director. Please go ahead, Mandy.
Mandy Dole: Thank you, Shen. Hello, everyone, and welcome to our second quarter 2020 earnings conference call. Our results were issued earlier today on the IR website. Joining me today on the call are Mr. Wu Haisheng, our CEO and Director; Mr. Alex Wu, our CFO; and Mr. Zheng Yan, our CRO. Before we begin the prepared remarks, I would like to remind you of the company's Safe Harbor statements. Except for historical information, the material discussed here may contain forward-looking statements. These statements are based on our current plans, estimates and projections, and therefore, you should not place undue reliance on them. Forward-looking statements involve inherent risks and uncertainties. We caution that a number of important factors could cause actual results to differ materially from those contained in forward-looking statements. For more information about potential risks and uncertainties, please refer to the company's filings with the SEC. Also, this call include a discussion of certain non-GAAP measures. Please refer to our earnings release for a reconciliation of the non-GAAP measures to the most directly comparable GAAP ones. Last, unless otherwise stated, all figures mentioned are in RMB. I will now turn the call over to our CEO, Mr. Wu Haisheng.
Wu Haisheng: Thank you, Mandy. [Foreign Language] Hello, everyone. I'm very proud report a strong financial and operating results for the second quarter. While the macroenvironmental remain challenging, we still set a number of records in key operational metrics. Total loan origination reached RMB 58.9 billion during the quarter, up 21.8% year-on-year. Outstanding loan balance increased to RMB 78.5 billion from RMB 74.1 billion a quarter ago. For the second quarter, total revenue reached RMB 3.34 billion and non-GAAP net income reached RMB 942 million. This is the most outstanding quarterly results since our IPO. [Foreign Language] Our solid performance under the still uncertain macro backdrop further demonstrates the effectiveness of our prudent operational strategy, as well as the resilience of our customer base and our risk management system. We believe we have built a structural advantage over our peers, which enable us to successfully navigate through previous market uncertainties, such as the P2P crackdown, the regulatory changes, and the pandemic. In each of those cases, we further strengthened our leadership position. When the macro environment, economy recovers, we see continued improvement in our operational metrics and we feel confident in our future prospects. [Foreign Language] Our take rates for the quarter improved noticeably, driven by our continued efforts to boost operational efficiency and to refine our risk management system, funding structure and the customer acquisition channels. Average pricing during the quarter was 27.2% on an IRR basis, which is the equivalent of 15% to 16% on an APR basis. Day 1 delinquency decreased to 6.2% at the end of Q2. This was even better than the pre-pandemic level of 6.5%. Moreover, our funding costs further decreased to 7.2% from 7.7% in the prior quarter, well below the peer average. In the first half of 2020, we issued in total RMB 1.1 billion ABSs, and ranked number four behind the Ant Financial, JD and Xiaomi in terms of total insurance size. We acquired 1.6 million new customers with approved credit lines in the second quarter, which is RMB 200,000 more than in Q1. And the average acquisition cost for those new customers was about RMB 167, modestly higher than in Q1. As the market gradually consolidates toward leading platforms, we have increasingly become the preferred fintech partner for many consumer-focused internet companies. So far, we have connected our service with 11 partners, including Xiaomi, Meituan, ICE and many others, including JD, Didi, 58.com and Weibo are in the pipeline. [Foreign Language] Our new product initiatives also tracked very well in Q2. Daily transaction volume of our virtual credit card products, V-pocket, reached RMB 15 million at the end of the second quarter, connecting 2.5 million accumulated users with about 2 million merchants and processing 450,000 daily transactions. Intelligent Credit Engine, which connects institutions with our vast inactive user base, add another RMB 20 million daily transaction volume to our platform. We expect the momentum to continue and greatly enhance the stickiness and activity level of our user base. [Foreign Language] We made further progresses in strategically upgrading to a technology-powered digital platform. During the quarter, capitalized model and other tech-powered solutions account for over 26.9% of total loan origination and we remain committed to increased capitalized contribution to 35% to 40% exiting this year. In addition to the capitalized model, we're also working on standardize our risk management capability into service modules and offer them to financial institutions. As of now, six institutions have already used this service and 20 more is in the pipeline. In the long run, we will continue to invest more in our fintech capabilities, and further strengthen our competitive advantage. By our calculation, tech-enabled revenues and platform service revenues are already nearly 50% of our total revenue. Recently, we have proposed to our Board of Directors and shareholders to change our name to 360 DigiTech, which will better reflect our current business dynamics and long-term strategies. [Foreign Language] Last week, the Supreme People's Court of PRC announced a new guideline to reduce court-protected interest rate cap for private lending. We have anticipated and prepared for this prior to the release. Shortly after the official announcement of the guideline, we held a conference call to communicate our point of view with the capital market. While it is generally believed that the new guidelines are only applicable to private lending, we are prepared for possibility that the financial regulators may refer to this guideline as well. In addition, it is widely believed that the 15.4% interest rate cap referred in the guideline is the nominal APR basis, which is the equivalent to roughly 27.3% on an IRR basis. This is more or less in line with our current average pricing. As a result, we expect this impact to our operations to be manageable. Recently, we test some experimental pricing structure with certain group of users, essentially offering loans to them at a lower rate than they otherwise would get. The result indicates that carefully managed the pricing discount could potentially lead to a higher customer LTV to the company, as users may become more active and sticky. In the intermediate term, we believe that the regulators will likely encourage a gradual downward trend in the interest rate, and it's consistent with our long-term strategy of serving a much broader user base at a relatively lower price. In early May, our affiliate company, 360 Group, has committed significant resource in becoming the controlling shareholder of the national bank, KCB. This will provide strong and vital support for us to further reduce funding costs, diversified product offering and strategically upgrade to a technology-powered digital platform. [Foreign Language] Finally, let me introduce our newly appointed CFO, Mr. Alex Wu. He was the CFO of Qihoo 360 when it was listed in the US. Many of you may have already know him. Our former CFO, Jiang Wu, has been appointed as our CSO. I would like to thank Jiang Wu for his great efforts in building up a prudent internal financial system and presenting our company in the capital markets well. Now, I will pass the floor to Alex Wu to dive into the details of financial performance.
Alex Wu: Thank you, Haisheng. Good evening and good morning, everyone. Welcome to our quarterly earnings call. For the interest of time, I will not go over all the financial line items on the call. Please refer to our earnings release for those details. Q2 marked a sharp rebound of our business momentum from Q1. As the concerns over COVID-19 gradually faded, the country entered recovery mode and economic activities gradually picked up during the quarter. Benefiting from such micro trend, we had experienced robust rebound in our operations, particularly in the second half of the quarter. Total net revenue for Q2 reached RMB 3.34 billion versus RMB 3.18 billion in Q1 and RMB 2.23 billion a year ago. The year-over-year comparison is somewhat distorted by the accounting standard change early this year. Total operating expenses, excluding the provisions, increased 12% Q-on-Q, but decreased 27% year-on-year. The sequential increase were in part driven by our deployment of resources to support business growth in the quarter. In particular, we further strengthened our collection operations and on-the-ground customer acquisition team. A year-over-year decline reflects significant improvement in customer acquisition cost. Non-GAAP net income was RMB 942 million versus RMB 255 million in Q1 and RMB 692 million a year ago. Once again, the year-over-year comparison was impacted by the accounting standard change. On an apple-to-apple comparison basis, under the old accounting standard, non-GAAP net income would have been approximately RMB 1.3 billion, representing an approximately 87% year-over-year increase. With a growing contribution from capital light model and the sizeable increase in shareholders' equity, leverage ratio declined meaningfully to 8.3 times in Q2 compared to 9.5 times in Q1. Again, leverage ratio was also impacted by accounting standard change. Under the old standard, leverage ratio in Q2 would have been 6.3 times versus 9.8 times a year ago. While leverage ratio may vary from quarter to quarter, we expect to see overall downward trend going forward as capital light model continue to grow and we continue to create shareholders' equity. Meanwhile, our provision coverage ratio remained at a healthy 3.2 times in Q2 compared to 4.0 times in Q1. The sequential decrease in provision coverage ratio was mainly because loans originated in previous quarters performed better than expected and the provision for those loans were lowered by approximately RMB 300 million in Q2. For risk-bearing loans originated in Q2, we took similar conservative approach to Q1 to estimate the potential losses and the provisions for contingent liability. Free cash reached a record high of RMB 1.8 billion in Q2. This was largely driven by strong operating results and effective management of working capital. Total cash and cash equivalents were RMB 7.4 billion at the end of Q2. Majority of our cash was allocated to security deposit with our financial institutional partners, and also the registering capital of different entities to support our daily operation. We also leave a sizable buffer for any market uncertainties in the cash reserves. We believe that such sufficient cash position will not only enable us to compete in an ever-changing market, but also position us to capture potential growth opportunity in the market recovery. Finally, let me give you some color about our outlook for the third quarter and the four year. The strong positive momentum we experienced in the second half of Q2 has continued into current quarter, both in demand and asset quality. However, with the global pandemic still lingering and the impact of the written regulatory change still somewhat unclear, we will continue to take prudent and conservative approach in our business planning. Therefore, we would like to maintain our full-year loan origination guidance of RMB 200 billion 200 to 220 billion. With that, I would like to conclude our prepared remarks. Operator, we can now take some questions.
Operator: [Operator Instructions]. We have the question from Ms. Daphne Poon from Citi. The floor is yours, Ms. Daphne.
Daphne Poon: [Foreign Language] So I will translate the questions. So, mainly two questions. The first question is regarding your loan pricing. Just wanted to get a sense from the management, given the latest regulation coming out from the Supreme Court, how fast and how much you expect your APR to come down, say, in the coming few quarters or next one to two years' time? And also, whether you have done any stress test about what your breakeven interest rate would be? And the second question is about the Intelligence Credit Engine that you mentioned earlier. You mentioned it for activating some of your existing users. So, can you elaborate more in terms of the product features, such as loan terms, pricing, interest rates, et cetera, and how is that different from your current capital light model? Thank you.
Wu Haisheng: [Foreign Language] Okay. In terms of the trend of interest rate or the pricing, actually quite a while ago, we already determined that the overall interest rate trend will gradually trending down, both from our understanding with the regulatory environment and also from actually internal assessment. We believe that with gradually lowered interest rate or pricing, we can reach a broader base, a much broader user base to basically increase overall size of the business in the long run. [Foreign Language] And also, we look at our current structure in terms of take rate, I think we have pretty reasonably good take rate of our current operation, which means that there's plenty of room to maneuver in the new interest environment. And also, our overall operational efficiency probably among the best among our peers. That again give us room to kind of profit or getting growth in the new interest environment. And then, with the KCB joined as our partner, we have further advantage in terms of lower cost funding. And that also will help us dealing with the relatively lower pricing environment. [Foreign Language] And in terms of a breakeven point – to your second part of the first question – obviously, it's a little bit too early to do the detailed calculation. But roughly speaking, it's just a back-of-the-envelope kind of a calculation, right now we look at it, it's about 16% on the IRR basis. Somewhere around that number is our breakeven points based on current model. That point, by the way, we haven't really considered any sort of incremental volume that are associated with the lower rate environment. [Foreign Language] In terms of Intelligence Credit Engine, really, the purpose for that is to activate our, you could call it, sleepy users. As you know, we have nearly 30 million users with approved credit line. But any given quarter or any given time, the one that actually use the credit line, it's only less than 10 million. So, there's close to 20 million users, we can call it, inactive user. For those users, we link them with the financial institutions, the product itself will based on the bank's brand as opposed to the 360 brand. And also, we use differentiating pricing to attract those users. So, for many users, they may have a better kind of impression to the bank's brand, in this case. That's how we can active those users from a sleepy kind of a stage. [Foreign Language] And the difference between this Intelligence Credit Engine and the capital light model is that, under the Intelligence Credit Engine, like I said earlier, the brand is under the bank's brand, not our brand. And also, in this model, we don't do after-loan management. The bank will do that after-loan management there. Whereas the capital light model, we do the after lending management work. But we do help the bank to do the customer acquisition and also some pre-screens in terms of risk management prior to the lending activity. So, the pricing or the take rate between the Intelligence Credit Engine and the capital light, the Intelligence Credit Engine side is slightly lower than the capital light model, but not too much difference there. Yeah, that's it, Daphne.
Daphne Poon: [Foreign Language] So, just a follow-up question regarding the longer-term take rate and the outlook. At what level you think it will decline to or you feel more comfortable in the long term? Thanks.
Wu Haisheng: [Foreign Language] So, we really don't set a target for the take rate in our daily operation. Really, what we look at this dynamic is that in the so-called new interest environment, we want to serve a broader user base. As the environment drive the overall take rate probably for the entire industry gradually lower, then we just follow that in that trend. So, we don't foresee or we don't expect the take rate to see dramatic decline in any short period time. It's more like a gradual with overall industry environment kind of scenario there.
Operator: [Operator Instructions]. Next, we'll have Mr. Jacky Zuo from China Renaissance.
Jacky Zuo: [Foreign Language] Congrats on the results. So, my main question is about the asset quality. So, just want to ask, what is the trend in July and August regarding day 1 delinquency rate, 30 days collection rate and what is our estimate for the vintage loss ratio of the new loans issued in the first half? And lastly, what is the day 7 delinquency rate, if we can disclose that. Thank you.
Yan Zheng: [Foreign Language] The overall improvement of asset quality continued into current quarter. And Mr. Zheng basically mentioned that exiting the second quarter, our day 1 delinquency was about 6.2%. And now, if we look at the current number, it's already – for a few weeks, it's already consistently below 6 in terms of day 1 delinquency. And then, for the 30 day collection rate, exiting the second quarter, we were at about 88%. Right now, this number is already between 89% and 90%. So, it's continued on a very positive trend line there. In terms of the vintage loss – expected vintage loss for the current portfolio, our range we were given was between 2.5 to 3.5. Right now, this number – or I would say, in the second quarter ending, this number sitting about 3%. Given the delinquency leading indicator trend, we look at it, it's possible down the road the actual vintage loss probably will be lower than that number. In terms of FPD7, the delinquency there, pre-pandemic, we were running at about 0.9 to 1%. At the peak of the pandemic, we were hit like 1.84%. Now, this number already coming back to significantly lower. Right now, we're running about 0.8% for that metric. [Foreign Language]
Jacky Zuo: So, a simple follow-up on this, I have observed that, given the improved asset quality, we should have the provision write-back in the second quarter. So, what is the number that we expect for the write-back in the third quarter? Thank you.
Alex Wu: Sure, Jacky. I will take this part of question. If you look at the financial statement, for the first quarter, we booked a RMB 1.7 billion provision for contingent liability. Of that RMB 1.7 billion, RMB 1.4 billion is for the loans issued in the Q1 and then RMB 300 million was for the loan issued prior to Q1. And then, in the second quarter, the total provision for contingent liability was about RMB 1 billion. Within that RMB 1 billion, the provision for the loan issued in Q2 was actually – I believe RMB 1.32 billion. But at the same time, because the loans we issued in previous quarter actually performed better than we initially thought, so there will be a write-back about RMB 300 million in Q2 for those provision numbers. That gives you the net provision for contingent liability for Q2 at about RMB 1 billion.
Jacky Zuo: Do we expect further write-back in the third quarter?
Alex Wu: If you look at the way we took the provisions there, for the first and second quarter, for the new loans, we took pretty much similar number of – amount of provision. One is RMB 1.4 billion. In the second quarter, it's RMB 1.3 billion. So, both are, I would say, very conservative approach to estimate the provision there. If the trend we're looking today continued, meaning the asset quality continued to improve, you should probably continue to expect to see this write-back on the provisions in the coming quarters.
Operator: Now I'd like to call upon Mr. Steven Chan from Haitong International.
Steven Chan: [Foreign Language] After the change of the name from 360 Finance to 360 DigiTech, I just want to understand whether there will be any change in the business strategy? Especially, are we going to change from a fintech company to a tech fin company? Especially, are we going to introduce – we have introduced this Intelligence Credit Engine, which is very similar to capital light model. And if we're really going to change from a fintech company to a tech fin company, which bigger player should we compare us with? Should we compare with OneConnect or Qingdong? Thanks.
Wu Haisheng: [Foreign Language] Yes, we propose to change our name from 360 Finance to 360 DigiTech because if you look at the history of the company, the founding team of the company, as you know, is coming from 360 Group, which by itself is more a tech-based team. Our resources, at least in the initial founding, the resourcing and capabilities are all coming from the technology side. We just apply those resource in technologies to the financial service industry there. In the short term, we still have a lot of things we can do for the financial service segment of the market. For example, the customers we're serving today are more or less focused on the mid to higher end in terms of interest range. Down the road, we are looking for a much broader user base to cover the lower end or mid to lower, the interest rate. In particular, with the help of the KCB, that will enable us to reach that goal. So, eventually, we'll find ourselves build a – whether you call it a tech fin or fintech platform, it's very unique one compared to most of others because we become probably one of the only that can serve a broader – I would say, full range of interest range of a customer base down the road. [Foreign Language] And then, also from the institutional side, as you know, right now, we already have a relationship with over 100 financial institutions. And many of those institutions have the different sort of service scenarios we can work on and to develop – in the future, to develop more like standardized products to achieve our sort of a tech-enabling capability there. And in the long run, we can help those institutions from both technology and risk management and customer acquisition front to serve them to become really a major tech platform for those players. From that perspective, we probably – to your question – looks a little bit similar to OneConnect there. But at the same time, we also have this loan facilitation business there and also the lending business that, to some degree, looks like a combination of Ant Financial's GFA plus OneConnect. And further beyond that, as you know, we tapped one of our affiliates' insurance kind of a broker license. That can in the future become part of our kind of listing company's portfolio. So, we can expand that business into – beyond the current lending plus tech service, adding additional elements in there.
Operator: In the essence of time, we would like to have the last question from Mr. Ethan Wang from CLSA.
Ethan Wang: [Foreign Language] My question is on customer acquisition channel. Just wondering what is the split of the customer acquisition channel now compared to pre-pandemic? I hope management can share some more data on V-credit product, so we can understand more about its growth. Thank you.
Wu Haisheng: [Foreign Language] In terms of the customer acquisition, given the current market uncertainty still lingering – uncertainty in the market, our customer acquisition strategy are more focused on the existing or old users, you can call that, as opposed to the new users. That basically give us a good handle in terms of a control of the customer acquisition cost. In addition to focus on all the existing users, we also take some approach in technology, as well as in the the way or the format we acquire our users to control the customer acquisition cost. For example, we have the partnership with the one we mentioned, like the Xiaomi Meituan. Those kind of internet platform that we connect to our service and we get a certain type of a revenue sharing model during the – with them to do the customer acquisition. That also help us to enhance our overall user acquisition cost there. Given our current focus on existing user, meaning there's still quite a bit room for us to acquire new users down the road when we feel the overall market condition is right, we will basically adjust our strategy with time. [Foreign Language] So I want to spend some time emphasizing on this new customer acquisition strategy in terms of partnership with the so-called Internet platforms out there. In the past, they have many partners they can choose from, meaning the other fintech platforms. But as time goes, they realize both from the asset quality as well as the customer service perspective, in particular the customer complaint ratio and all these metrics, we are way ahead of our peers. So, we essentially become the default or the best partner for those so-called Internet platforms there. That's why, since recently, we start to accelerate the connecting our service with these Internet partners there. As we mentioned in the prepared remarks, we had to connect 11 in total already, and then there's still quite big numbers out there in the pipeline. Right now, the total customer acquisition from these kind of partnership already accounted for about 20% of our total new customer acquisition. [Foreign Language] And also, secondly, I want to also refer to our relationship or our potential partnership with the bank, with KCB because, relatively speaking, the banks have better branding or brand recognition or brand quality as well as low cost capital there. So, we can design – by partner with KCB, we can design a lot of different kind of low-priced products offered to our customers. And also, with the bank joined our efforts, we can connect this kind of platform with more scenario-based situations there and, eventually, cover a much broader user base in terms of the different interest range or different pricing range. That's again back to our goal – eventually, we want to serve a much broader – I will say, full range, interest range customer base, from low to high down the road.
Operator: Thank you very much. Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect. Thank you very much.